Operator: Good afternoon and welcome to today's Noodles & Company Third Quarter 2013 Earnings Conference Call. All participants are now in a listen only mode. After the presenters' remarks, there will be a question-and-answer session. As a reminder, this call is being recorded. I will now introduce Noodles & Company’s Chief Financial Officer, Dave Boennighausen. Please go ahead, sir.
Dave Boennighausen: Thank you, Jamie. Good afternoon, everyone, and welcome to our third quarter 2013 earnings call. Here with me this afternoon are Kevin Reddy, Chairman and Chief Executive Officer and Keith Kinsey, President and Chief Operating Officer. Let me start by going over a few regulatory matters. I would like to note that during our opening remarks and responses to your questions, we may make forward-looking statements regarding future events or the future financial performance of the company. Any such items including targeted results for 2013 and 2014 and details relating to our future performance should be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are only projections and actual events or results could differ materially from those projections due to a number of risks and uncertainties. I refer you to the documents the Company files from time-to-time with the Securities and Exchange Commission, specifically the Company's final prospectus for its initial public offering, which was filed on June 28, 2013. This document contains identifies important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. Now, I would like to turn it over to Kevin.
Kevin Reddy: Thanks, Dave. Good afternoon and welcome everyone. I want to begin by saying that I’m please with our Q3 2013 performance, which was highlighted by 45% increased in adjusted income. And more importantly the initiatives that we will discuss on this call are connecting with our guest and generating an excellent start to the fourth quarter positioning us to finish the year strong. Our teams’ commitment are bringing our Your World Kitchen positioning to life in our restaurants continues to resonate with our guest and I remain confident we are creating a completely unique dinning experience that will allow us to continue our long track record of exceptional growth. Our total revenue increased 15% in the third quarter and the strength of new restaurant openings as well as an increase in company-owned comparable sales of 2.4%. The company was able to achieve our sixteenth consecutive quarter of positive comparable restaurant sales growth, which was driven primarily by an increase in traffic and menu mix as we only carried 1% price through the quarter. The underlying consumers spend in frequency. Without new marketing initiatives or limited time offer and less price in Q3 is another indicator of our strong fundamental and guest royalty. I’m particularly please with our earnings growth in Q3, given the investment that occurred in the quarter in support of initiatives for the fourth quarter and beyond as well as the increase in pre-opening cost related to additional new restaurants. Turning to those initiatives, I would next like to discuss our World Tour limited time offering, which has been in our restaurants since early October. One of the key differentiators of Noodles & Company is our ability to serve a world of flavors under one roof by being the only national chain that brings together cuisines from throughout the globe. This fall’s limited time offering reinforce that straight, including dishes inspired from the Mediterranean, the Far East as well as Latin America. I’ll start with a dish I discussed during our call last quarter, our Alfredo MontAmore. For years, Alfredo has been the most requested dish from our guests and we feel that culinary team really delivered a dish that how holds the creaminess and richness people expect from Alfredo while adding some complexity and uniqueness with the incredible flavor of the MontAmore cheese. While the Alfredo MontAmore has certainly met all of our expectations, and is the bestseller of the three, the Asian offering is one that has really captured the attention of new and existing guests alike. Our Thai Hot Pot is a dish inspired by the complex flavors in that region and response that we are seeing from guests, particularly on social media platforms like Flatbread and Instagram has been really great. This dish is especially enticing from a visual standpoint and it has – with the combination of our 30-ingredient curry broth, the multiple vegetables, the Fresno peppers, pulled chicken and naturally raised pork. Finally in the LTO we have our first venture into Latin America with our pork Adobo Flatbread. So continuation of the Flatbread platform, we introduced this Spring and the spicy and Adobo flavors of cumin and fire-roasted tomatoes as well as our pork and Fresno peppers really provide a nice kit, not just to our guests taste buds, but is also a popular add-on. While we don’t disclose specifics on mix, role to our LTO has been the most popular LTO we ever introduced. I feel it’s a great representation of key tenants of our brand. These meals offer flavored profiles from spicy to savory, for light and healthy that include flavors of both kids and adults. In terms some of the investments that we made in the third quarter, when I firmly believe and I’m very encouraged with his the disciplined expansion of our service platform that reinforces our differentiation at the dinner day part. As those of you who have been in our restaurants now, we prepare all of our dishes to order and deliver them to guests on real China generally within five minutes. This is all executed by some of the friendliest team members in the industry certainly a higher level of hospitality in the fast casual space and it’s all done without the need for a tip. We feel our food and service platforms together, set us apart from many of our competitors, but are also aspects of the brand we haven’t fully capitalized on. It about 15% of other restaurants, we now rolled out our hand service program with a team member dedicated to the dining room, we’re educating a guest our menu, we’re serving them on extra glass of wine, we are anticipating the needs or just ensuring that their meal exceeded their expectations. In support of this initiative there is a focus line of deserts, coffee and tea, as well as improved beer and wine offerings. While it is too early to its describe a specific sales lift to this initiative, we are very pleased with the results we are seeing in these restaurants. I can say that due to the importance of the nuance aspects of the hospitality our rollout and our training of these initiatives is going to continue to be very disciplined and measured. Finally, I would like to mention the modest price increase that we implemented at the beginning of the fourth quarter in our company restaurants. As we’ve discussed in the past our primary focus will always center around building real transaction growth, something we have consistently delivered over the years. However, from time-to-time we target selective price increases to combat the rising input costs. I’m pleased to report that as we look at our per person spend trend since the increase we have not seen any erosion in attachment or traffic patterns, furthering my confidence and value position and future pricing flexibility. These initiatives in those key for address have allowed us to build sales momentum between the third and fourth quarters. As a result of that we are increasing our comparable sales guidance to 3.25% to 3.75% for the full year. We feel that our ability to provide outsize net income growth, the real transaction growth and a long runway of expansion is continued evidence of our potential to develop a category of one in the eating and drinking out space. I’d now like to turn it over to Keith to discuss some of the operations initiatives and new restaurant development.
Keith Kinsey: Thanks Kevin. Kevin gave you a window into the work we’ve been doing to capitalize on the employee engagement aspect of our operations team. While we fill this initiative we have a particularly impact on the dinner day part, which is roughly 50% of our business. We are also focused on ensuring that we meet to guest needs for a speed service particularly during the lunch rush. Our design is engineered in such a way that we have plenty of capacity and can – continue to execute major order meals in a shelved amount of time at a very high level. That said, we are always looking for areas of improvement. Some of those areas we’re particularly focused in on right now are optimizing the deployment of our labor during our heaviest hours, ensuring that we have the right number of registers opened at all times and looking at different preparation methodologies to reduce the number of stations that a certain Item must reach during production. The early results of these initiatives are encouraging. In quarter three along we set nearly 200 different throughput records at our restaurants for numbers all orders executed during 15 minute revenue periods. As we continue to improve our operational efficiencies we are also leveraging our online in mobile ordering platform that was launched earlier this year. Aside from increasing the flexibility for our guest, online and mobile ordering reduces the wait time at the restaurant. Eliminates many of the time consuming phone in orders and when necessary allows us to shift some of our business to times just prior to or after the main rush of revenue period. The amount of orders we are receiving through online and mobile platforms has almost doubled over the past year and we expect it to continue to grow as a percentage of sales for the foreseeable future. On the development front the pipeline continues to look very strong and we are increasing our guidance slightly to 41 to 42 net new company restaurants in 2013. Moreover, we have increased our guidance on the franchise openings from between 9 to 10 restaurants in 2013, a range we again expect to be at the high end if weather holds. During the third quarter we open 15 company and five franchise restaurants, bringing our total net openings for the year to 34 and 7 respectively. As of the end of the third quarter we had 368 restaurants system-wide 310 which our company-owned and 58 franchise owned. As we discussed in our last call, although we made tremendous progress in balancing out our opening amongst the quarters, in the third quarter we had a substantial number of restaurants that open at the end of the period. In fact, nine of the 15 company openings were in the last 10 days of the quarter, resulting in all the pre-opening expenses relating to the new restaurant while little the revenue. Our fourth openings looked like there are going to be a little bit back ended and not to the degree we saw in the third quarter. Overall we remain ahead of track in our development pipeline, given as a confidence that we will be able to achieved company-owned growth of 13% to 15% in 2014 while maintaining the flexibility to be selective in our real estate decisions. On the franchise community continues to get strong each day. While we continue to expect to be primarily a company owned system. Our franchise partners are helping us build the brand throughout the country while executing at the same high standards we hold our company restaurants at. Although, our franchise-owned restaurants posted a modest increase of 0.5 in comparable restaurant sales in quarter three, our total franchise AUVs increased at a faster rate than their comp sales due to the strength of our most recent franchise openings. As many of you know we’ve opened up our first restaurants in Long Island and New Jersey earlier this year and we are looking forward to opening franchise restaurants over the next 12 months in new markets like Philadelphia, Boston, and Lexington, Kentucky. As these markets develop we anticipate that the potential exist to increase our unit count on the franchise side to increase between 15% and 20% over the next couple years. So we feel very comfortable with the pieces remain in place to meet our targeted growth rates in a smart disciplined manner that will increase shareholder value over the next several years. With that I would like to turn it over to Dave
Dave Boennighausen: Thanks Keith. For the third quarter of 2013, we reported adjusted net income of $3.3 million a 45% increase over adjusted net income in the third quarter of 2012. This equates to diluted earnings per share of $0.11 for the fiscal year-to-date adjusted net income stands at $8.6 million at 21% increase. While there were no adjustments to reported net income for the third quarter, both year-to-date as well as prior year figures incorporated adjustments related to normalizing expenses and changes in our capital structure related to the initial public offering this June. Our total revenue was up 15.4% in the third quarter as we saw an increase in company-owned sales and franchise revenue due to a larger number of restaurants as well as increasing comparable restaurants sales. Our comparable restaurants sales were up 2.1% system-wide in the second quarter which company-owned restaurants up 2.4% and franchise restaurants up 0.5% respectively. Our company-owned quarterly comp contained only 1% of price as Kevin mentioned, with the balance being driven almost equally by traffic and menu mix shift related to our appetizers and the introduction of our higher price gluten-free noodle option. We feel our continued positive menu mix shift is a testament to our overall value proposition in pricing flexibility. The price increase that was rolled out at the beginning of the fourth quarter was around 1.5% to 2%, as a point of reference in December we began to lap last year’s price increase from the roll out of internal merchandising. This is a phase rollout, so our effective pricing will roll off overtime barring any unexpected changes though, you can anticipate price of approximately 2.5% for the fourth quarter and gradually declining to that 1.5% to 2% range from this current price increase as we enter the second quarter of 2014. Due to the momentum we had seen at the beginning of Q4 to pricing in our initiatives we now anticipate that our comp growth for the current quarter will be between 3.75% and 4.25%. Our cost of good sold in the third quarter of 26.3% was 20 basis points lower than the prior year as a result of modest food inflation offset by the 1% price increase that carried during the quarter. Although we did implement a price increase entering Q4 we do expect cost to raise relative to Q3 as a result of seasonal fluctuations in our menu mix, as well as increased ingredient cost particularly with shrimp. Labor percentage decreased to 30.0% in the third quarter of 2013 from 30.2% in the third quarter 2012 with lower incentive compensation costs offset by modest wage inflation. We anticipated similar labor percentage for the fourth quarter as we deleverage on fixed cost during the holidays which is offset by the benefit of the price increase as well as increased comparable restaurant sales. Occupancy cost increased 30 basis points to 10.1% of sales in the third quarter, due to the diluted impact of the timing of the new restaurant openings. As we turn to operating cost, I would like to point your attention to reclassification that occurred beginning with our third quarter results. The company changed how we report marketing expenses between G&A and other restaurant operating costs. The re-class was ultimately the company reporting just those cost directly related to restaurant level marketing efforts, which still put us much more inline for an apples-to-apples comparison with the balance to the industry. With this re-class we are also recasting prior time periods and we would refer you to our press release for a table detailing impact. As you will see there is impact operating income from this re-class. With all that said, operating cost increased 50 basis points to 12.9% of restaurant revenue in Q3, this increase resulted from increased supply in small words and support of our dinner day part and LTO initiative as well as increased repairs and maintenance at our restaurants. We do anticipate an improvement in Q3 to Q4 in these line items. Overall restaurant level margin for the quarter 20.7% a decrease of 30 basis points from last year primarily due to this increase in operating cost. General and administrative costs increased to 7.8% of revenue in Q3 of 2013 compared to 9.7% in Q3 of 2012. However, as you look at this number when adjusting for items related to stock compensation of structure prior to the IPO. Management fees to our equity partners that are eliminated upon the IPO as well as severance from an organizational restructure in Q3 of 2012. G&A costs would have actually decreased only 50 to 60 basis points versus the prior year. This normalize 50 to 60 basis point improvement is a result of continued leverage on our increase in revenue. We anticipate similar G&A costs as a percentage of sales for the balance of the year. Pre-opening expenses in the third quarter was $1.2 million a 43% increase over the prior year as Steve mentioned, this was the result of opening 15 company restaurants in the third quarter of 2013 compared to only eight restaurants that opened in the same timeframe in 2012. Our tax rate for the quarter was 40.1% while for the full year of 2013 we continue to expect an effective tax rate of approximately 39.2%. Looking at use of cash through the course of prioritizing a deployment of our cash to the construction of new restaurants. We currently have about 1.7 million in long-term debt offset by approximately $600,000 in cash and cash equivalents. We do anticipate the long-term debt we’ll increase a bit over the next few quarters as our operating cash flow is modestly lower than that capital we deploy investing in the restaurants. For the full year we continue to anticipate adjusted diluted net income per share between $0.39 and $0.41. And this reflects an increase between 26% and 32% over 2012. Our guidance is based in part on the following assumptions for fiscal year 2013. 41 to 42 of new company-owned restaurant openings net of one closure in the first quarter of 2013, 9 to 10 new franchise restaurants openings, net revenue of $348 million to $352 million, comparable restaurant sales growth of approximately 3.25% to 3.75% for the full year 2013, an effective full year tax rate of approximately 39.2%, capital expenditures between $46 million and $50 million and annual weighted average adjusted diluted shares outstanding of $31.1 million to $31.3 million. Turning our attention to 2014, there are few things we can share on our initial thoughts. We anticipate comparable base restaurant sales in the low single-digit range with currently no plans to increase prices was during the first half of 2014, giving the recent price increase taken in early October. Given the strength of the 2014 pipeline, we are anticipating between 13% and 15% unit growth for company restaurants and 15% to 20% growth on the franchise side. Ultimately through our comp percentages and new restaurant openings, we anticipate total revenue for the year between $406 million and $412 million. Actual costs we continue to expect COGS in the mid 26% range as our recent price increase offset inflation of 1.5% to 2% this much more inflation occurring in shrimp and pork. The balance of our restaurant costs should be relatively consistent with 2013. For general and administrative expenses, we do have our all manager meeting in the summer of next year and the event that occurs over two years that has net costs of approximately $400,000. We normalize for that event and for public company expenses we do expect to increase G&A at a slower rate than sales. Stock compensation of courses is a function of any new brands as well as stock price of all things being equal, we anticipate between $1 million and $1.2 million in stock compensation charges. Finally, we will anticipate both pre-opening expense and capital expenditures to rise in a rate proportional to our increases in new restaurants development. We remain well positioned to continue our strategy of building high performing restaurants and investing initiatives that will drive guest royalty and shareholder value in the years to come and also give as very confidence and our ability to meet the guidance discussed in our earnings release. I would now like to turn it back to Kevin for closing remarks.
Kevin Reddy: While we’ve covered a lot of numbers in commentary over the last 20 minutes or so together and I would like to just emphasize a few important thoughts before we go to the Q&A. First our third quarter results were led by an exceptional 45% EPS growth and our comparable sales were quality driven and gaining momentum. And our real estate pipeline is robust and then our limited time offers continue to be relevant to our guests and deliver inside the box. Our guest, our royal and brand awareness is growing everyday. And may be most importantly for the future we have the people, operational and coronary initiatives to support long runways of growth. So thanks for your time today. And I would now like Jamie to open up the lines to answer any questions that you may have.
Operator: (Operator Instructions). The first question comes from John Glass from Morgan Stanley.
John Glass – Morgan Stanley: Thanks very much. I got some sample questions in your comp store sales momentum. First you implied guidance in the fourth quarter implies a pick up, are you seeing that in the traffic part of the business as well as the price increase which would lead to better comps and then, kind of could you talk a little bit about the success of the LTO, you talked about being most successful series of LTOs you brought in with your comp store sales where than they had been in prior quarter, part of that was macro, part of that maybe is comparisons, but how do you think about the success and the context to driving comps, did you drive incremental traffic in your mind, did you drive just existing us to trade out for example?
Kevin Reddy: Let me, I’ll just take the second part of that first and then let Dave address the first part John. Actually our limited time offer started in Q4, so it wasn’t in place in Q3 which is why one of the reasons I feel good about the quality of our same-store sales growth in Q3, because it was primarily driven buy our guests choosing to spend more and participate more within the brand. So I like that because really when you look at Q3, it started out if you guys remember looking at Black Box and Navtrak, those facts show the industry start to ring out slower and as I mentioned in my remarks we didn’t have a new LTO in the third quarter, we actually dropped off about 70 basis points of price and at the end of the quarter we had that flooding in Colorado and we have a substantial amount of restaurants here. So in the context of that, I’m pleased that we continue to grow real transaction count and frequency in the core part of our business, and when we switch to the fourth quarter which is when we began the LTO, we definitely saw a pickup in spend and traffic which is what has given us the confidence John of what we are seeing happening in Q4.
Dave Boennighausen: And John in relation to the increase that we’ve seen a momentum from Q3 to Q4, really we are seeing across the board and price menu mix as well as in traffic, certainly the 1.75% price is a significant portion of that but we are actually seeing all three of those moving in the right direction.
John Glass – Morgan Stanley: Okay and just one other question, you talked about the store openings sort of back loaded in the quarter, but how did they perform a sales perspectives you know you confirm to maybe your plan and maybe any highlights in terms of specific new market entries in those openings.
Keith Kinsey: Yes, and so this is Keith, from a standpoint of some of the openings that ended up at the end of the quarter and it’s a little early, we are seeing some good momentum, we opened up our first restaurant in Houston at the Woodlands and its doing very nicely above our expectation. So we are starting to see some of that traction from those later opening restaurants, but in looking at those it’s a little bit early just to tell as far as where they are going to come up by the end of the year.
Dave Boennighausen: And I wish maybe – this is Dave, add one quick thing to that. Yes those restaurants it is definitely a little bit early but they are meeting where our projections are. As we look at 2011 and 2012 classes which as we discussed in the past we have a little bit more of a skew towards more markets in those classes, they tend to be closer to that 85% to 90% of our company average. Well we are seeing some nice momentum as they are kind of continuing and ramping up on that glide path. We think the LTO also is a nice opportunity and we have seen some nice upticks since we introduced the LTO in those newer classes.
Kevin Reddy: This is Kevin. Just to add to that we travel and visit a lot of these restaurants. And what and I’m pleased with is that what we want the guests to connect with within the brand voice, global flavors, the variety, everything being a slightly little nicer than other fast casual places. I’m pleased with what we are seeing and hearing from the guests in our new restaurants, other things that are important to our future, because they are getting it.
John Glass – Morgan Stanley: Sorry. Thanks very much.
Operator: The next question comes from Joe Buckley from bank of America.
Joseph Buckley – Bank of America: Thank you. Carried on a couple of things that you’ve talk about, first you raised in Colorado and as your strength on sales, can you quantify that in any way whether actual store closures involved for any period of time?
Kevin Reddy: Yes we did have a handful days of closure Joe and it is roughly 10 to 20 basis points in terms of the comp.
Joseph Buckley – Bank of America: Okay. And then question on the marketing both for the third quarter and the fourth quarter with the lack of a new LTO in the third quarter was marketing spend down and is market spend up here in the fourth quarter as cant get that well to LTO?
Dave Boennighausen: Sure so you’ll see and other is to kind of filer though that press release, but in general the restaurant marketing costs we have that hit the restaurants are roughly about 1% of sales on total average. As we look at Q3 versus Q4, I think Q3 was close to that 80 basis points, 90 basis points range, but there will be a little bit of an uptick in Q4, but so much of our marketing is at the local relationship level ends up actually hitting the discount line through COGS. You are not going to see a very meaningful uptick there.
Keith Kinsey: No Joe this is Keith and I do think to kind of dub tail with what Dave says getting and what Kevin has seen and we’ve all seen in the new restaurants is really getting the food off to the guests is really our strength in getting the Alfredo and Hot Pot out there in different opportunities to get that food in front of our guests, is really the way we drive it. And particularly with LTOs we really think that’s a strong way to get people to understand the breath of our taste inside of our restaurants.
Joseph Buckley – Bank of America: Okay thank you.
Dave Boennighausen: Thanks Joe.
Operator: The next question comes from Michael Lasser from UBS.
Michael Lasser – UBS: Good evening and thanks for taking my question. First on the cadence of the quarter, there is a lot of macro distraction, maybe you could talk a little bit more about how you started to flow and whether or not you felt like some of the issues in a border economy might have impacted the business as well?
Dave Boennighausen: You know I don’t – I think Mike I know you a lot of days you know as well. We don’t really go spend a whole lot of time on macro environment. But yes maybe clearly we’ll step it and there is a lot going on that are on a lot of people’s minds. But that’s okay. I mean what we saw momentum building and I think that one of the strengths of the brand and one of the believes of management our team is that we have the right strategy, the right food and if we execute at the restaurant level, our guests are loyal. Then they stay with us because of that combination of food, people, place and value. And so that was building and when we focus on that and deliver our own slightly unreasonable expectations, we win. And we were seeing that grow through the third quarter and certainly into the beginning of the fourth-quarter
Michael Lasser – UBS: Okay and my other question is this year you have had a lot of various test under you about what the dinning room construct, the menu with time offers. What have you learned that could influence any changes that might – the customer might see and that we might see within your financials over the next year or two? Thank you.
Kevin Reddy: You know I think, a lot of the focus we have is just improving the guest experience. Our limited time offers are really focused on building a broader message about the brand. They are focused on the world flavors in a variety and choice that we put in the guest hand, so I think the limited time offers combined with a new merchandising are really changing how people think about us in a very positive way. And those investments really have already been done so I don’t really any – we can continue to do that, its in our core DNA, you are going to see much financial impact on the expense side of those, but I do expect you will continue to see us build top line sales. As the one where we require some investment is that all of our initiatives on the dinner day part and that is one I think is very unique within the restaurants space and its one of the strengths that we believe we can capitalize on in terms of an opportunity in building the dinner day part. That one requires training, we added few menu items, its really great cost of entry for what we are doing, but I think you will see us – you want see massive impact on the company just because of how disciplined we are and measured in rolling us things out, but I think overtime that one is going to pay huge dividends just because of our ability to steal market share from casual dinning.
Keith Kinsey: And I think piece to Kevin has talk about is, is from an operational perspective I think as we think about how we use our teams, how we deploy our labor and with the success of the rollout of some of the merchandising within the restaurant it allows us to better talk to our guest and educate the guest in the breath of our menu, it also helps us operation as we talked a little bit about this last time is how it helps us execute better, gets a flow through the ordering process easier. Getting the guest to understand the breath and ability that we do just from our same system in customized dishes and I think that’s another piece as we continue to educate both side both the team and our guest is going to very powerful for us in the future.
Michael Lasser – UBS: Okay thank you very much for the color.
Operator: The next question comes from Jeffrey Bernstein from Barclays.
Jeffrey Bernstein – Barclays Capital: Great thank you very much. A couple of question just one on the throughput you talked about obviously with neat order of type product and what seems to be demand high. Throughput would seem like bottleneck with the biggest opportunity. I’m just wondering I think you mentioned some records in terms of 15 period of whatnot wondering any color you can provide in terms of one, how you just measure you throughout and maybe some ranges of fast versus slow and where you think the opportunity to improve whether it be like you said that dinning room team member or something else to allow for faster speeder service and obviously more customers through the line.
Keith Kinsey: Great question, great question. There two elements that we can mathematically do it and we do on the system and the operations team looks at it very diligently, one we look at order time so the time that the person comes up and register and we go through the process of getting that individual’s order down. The second piece that we track and that’s anywhere – we target between 25 and 35 seconds on that and I wouldn’t tell you that with the new menu boards the pre-boards that has really helped to speed that process up because people come up and they know what they want, they know the combinations they can deal with that and they can easily articulate that to our guest, to our ambassador and they can bring that up. The second thing is that we focus the time on, and it literally helps from a standpoint of being and we think that detail order of that fast and then our systems are set up to rifle back to the back of the restaurant at different stations, different ingredients that need to come together to be able to put that dish together. And we track that time that is kind of preparation time or food time that we take the dish out. That is any wherever from 4.5minutes to 5.5 minutes, but typically more in that five range and it gives that dish up to the guests and that the commented that Kevin made in about 5.5 minutes. But what we’ve done with that system again going back to is, each one of our different areas in the back of the restaurant are set up as stations. So what you do is, one piece might fire over for the sandwich over to our protein section. If we are doing a noodle dish and might fire over to the noodle station, on South Carolina might over to the Sauté line. We have what we call the severable [ph] that helps us break down the dish and customize. So all those elements are built not only from a standpoint of people and position and deployment, but also from the systems really the IT systems that the teams have put together. So what has been part of our focus is making the complex easy and execute that at the restaurant level.
Jeffrey Bernstein – Barclays Capital: Got it. And just on the…
Keith Kinsey: The other thing I would add, because I think it’s an insightful question is that, the efforts that we’re putting in there are really making a successful capable system better. At lunch time, focusing on throughput and making sure the human element is in place, the system is well engineered to deliver as Keith said the complex, simple and fast. The evening day part, I guess are going to linger a little bit longer then they opt into little broader range of offerings and a little higher average tax. So but I’m really pleased with how the teams are responding and focusing on capitalizing on those opportunities.
Jeffrey Bernstein – Barclays Capital: Great and then just from the real estate pipeline perspective, it sounds like we should expect an uptick in terms of opening. I’m just wondering what you are seeing in terms of the availability of real estate or competition whether it’s getting more or less intense, whether you are seeing increased real estate construction costs. So other things are well managed, the things that get fairly happy with the pipeline, just wondering some color there?
Keith Kinsey: Yes and a great question again. What you are definitely seeing is a lot of the two or three tenant types of buildings that are going up. The nice thing about the that they are in a lot of the already existing trade areas that have been developed already, so you’re not going into green part of the city or skirt of a suburb. There’s definitely competition looking for that there’s still some of the 2,500 square foot operators out there that are looking at and looking for that kind of space. But in general though if you look at some of our most significant competitors, they are already in the lot of these places, or there might be something like them already in a place that we are looking at. Because we have such a unique variety of foods, there’s not a lot of people that can exclude us. So there is a lot more opportunities for us to go into established trade areas where there is a multitude of fast casuals there, but not a casual diner, a fast casuals like us. Overall we are very high because of the strength of our balance sheet to go into some of these two and three tenant type of buildings cross the country. So and there is a little bit of inflation there, but I think it’s by different areas of geography depending on what has developed and again the strength of the real estate market there are the construction market, but not a big number.
Jeffrey Bernstein – Barclays Capital: Got it and just lastly Dave if I could just qualify what you mentioned in terms of 2014 guidance. I think if I got it correctly, I mean, it sounds like revenues you are thinking up mid teens driven by the unit growth primarily. But on the cost side of things if food costs are in the mid-26s and I think you said the rest of the restaurant level expenses are consistent with 2013, I’m assuming that was as a percentage of sales, we should think about the restaurant margins being modest compression driven maybe just by the food component, but then the G&A leverage, growing less than sales should be – really make up some of the difference to our earnings growth.
Kevin Reddy: Yes, we would expect that as the new restaurants mature, you know is a pretty consistent margins overall across the board maybe a little bit of leverage there and then we should be able to get significant leverage on the balance of the items and throughout the statement of operations.
Jeffrey Bernstein – Barclays Capital: Great. Thank you very much.
Operator: (Operator Instructions). The next question comes from David Tarantino from Robert W. Baird.
David Tarantino – Robert W. Baird: Hi, good afternoon. I have a question about the 2013 guidance; you raised the comps guidance, but held the earnings guidance, so I was wondering Dave if you could tell us what maybe some of the offsets are that might not let the increased comps flow through to the earnings line?
Dave Boennighausen: A couple of things David, and one would be a little bit of the decrease in that revenue, based on its primarily the timing of new restaurant opening s and the second thing would be that COGS number going a little bit up.
David Tarantino – Robert W. Baird: Okay. Great that’s helpful and then I guess on the new unit performance I think Dave you mentioned that you are opening or at least that line includes a lot more openings in some developing markets and I was wondering if you can maybe map out how you expect that to work as you look at next years opening. So you are expecting more on developed markets or as its going to be a continuing pattern of new markets dominating the mix.
Dave Boennighausen: So yes, in general just I mean somewhat level set. Our new market they always end up getting to maturity, but they do have a bit more volatility and I think most growth concepts when they have been our last cycle had the same phenomenon. When we look at 2011 and 2012 and a little bit in 2013, but not nearly as much, there was a skew where we actually had a higher percentage of our market that we are in developing a new – I’m sorry new restaurants. So we are in developing our new markets, but when you look at the 2014 pipeline that one is going to be dominated more by the mature markets as well as kind of the filling of some of the new markets that we introduced in 2011 and 2012, so there is definitely a little bit less volatility that we would expect from the 2014 class.
David Tarantino – Robert W. Baird: Great. That’s helpful, thank you very much.
Operator: The next question comes from Nick Setyan from Wedbush Securities.
Nick Setyan – Wedbush Securities: Hi, thank you. I want to just horn a little bit more on the leverage within the four walls. So holding the cost itself constant with the comps in the sort of low single-digit given the past you have done a good job of keeping some of the other cost items there, but pretty consistent year-to-year. So I just wanted to kind of understand what is unique about Noodles & Company that you are able to – I mean with some of your competitors aren’t able to do that they do have accounts to do that and I always think the occupancy on the restaurant operating cost is more variable than fixed. So maybe you can talk about sort of what some of those moving parts are that you are able to keep those expenses on line, even with low-single digit type of comps.
Keith Kinsey: To me there is a couple of piece, this is Keith and I’ll talk about our ability to effectively leverage labor and utilize that deployment, because I think we have a very sophisticated labor scheduling process that allows us to make sure we add people when we need to add them and deploy them on as volumes grow. But only add them to the extent that we need them as the sales and during the certain date parts when we get. We get those different pushes on sales. Same thing on the costs I think as we look at some of the dishes and as we try to maximize the type of limited time offers that we have in our system. We’re very, very thoughtful as to what that cost might be and also from the standpoint of execution within the restaurants which keeps your waste down and some of the other elements down that we think about that when we roll those different types of LTOs. Go ahead Kevin.
Kevin Reddy: Well I’m just going to jump in and add something in. We have a lot of experienced excellent operators. And over the years together, we’ve learned what’s important, we have the data to understand it quickly and we react quickly. So I think having a good finger pulse on your business throughout that entire P&L than being able to quickly communicate through our operating infrastructure and help coach folks that may need help and to anticipate that is a big reason, while our P&L numbers and other restaurant contributions are so strong that our AUVs. And again it’s short I think we know it’s supporting we have the data to get to it. We study it and we will add to it as operator should.
Keith Kinsey: One other thing I would just add I think also Kevin is when you look at the whole new restaurant the cadence of our new restaurant timing, doesn’t have an influence overall in our margins. Those restaurants tend to be a little bit lower in margin out of the gate and then they continue to grow margin as they mature. If you look at the last 12 months from the beginning of Q4 of last year, to the end of Q3 of this year, we opened up 49 restaurants and that’s, we had a lot of restaurants opened in Q4 of last year, Q3 of this year. So what you see is kind of as those restaurants mature there will be a little bit of influence on the overall margin in a favorable line, as they hit that glide path.
Nick Setyan – Wedbush Securities: Got it. Thank you very much.
Operator: The next question comes from Paul Westra from Stifel.
Unidentified Analyst: Hi this is Chris signing in for Paul Westra. Can you hear me?
Kevin Reddy: Yes Paul.
Unidentified Analyst: Okay thanks. I just wanted to follow-up on one more quick question about the unit development which for correcting and implying 40 or less next year, a little bit for this year. Is that a function of a strong, with your real estate backlog being strong is that a function of delays in the sites you are seeing already, or just being a little bit more conservative?
Kevin Reddy: Yes actually, we might have miss spelt that. It should be 13% to 15% unit growth rate on the company side which should equate to a kind of mid 40s number.
Dave Boennighausen: Right.
Unidentified Analyst: Okay great. That actually helps, I’m cleared up. And then it just one more quick one, on the enhanced service model, which you mention now and in 15% of the stores, can you provide any commentary and what you are seeing in terms of results there, is it dinner only thing, just any, really any further clarity you can find there?
Kevin Reddy: I think, still early, but I think what’s very encouraging is but we’re seeing increase in sales across our day parts, across all dates and all day parts. So it something that is resonating with the guest just in terms of the overall just brand perception. So yes we are seeing a little bit more growth at the dinner side, we do see a larger percentage of those items being sold at the dinner day part, but we are seeing all day parts go up and I think what’s also encouraging as we are seeing a lot of those sales in the mid and that timeframe between two and five.
Unidentified Analyst: Okay great. Thanks.
Kevin Reddy: Thanks Paul.
Operator: I am showing no further question. I would now like to turn the call back over to the management team for closing remarks.
Kevin Reddy: I think we covered everything. I really appreciate your time and attention and listening to our Q3 or excited how we started Q4 in ready to get – get back to work. So wish you everyone the best we will talk to you soon. Bye, bye.
Operator: Ladies and gentlemen, that does conclude the conference for today. Again, thank you for your participation. You may all disconnect. Have a good day.